Operator: Good day, everyone, and welcome to the Guess' Second Quarter Fiscal 2024 Earnings Conference Call. I would like to turn the call over to Fabrice Benarouche, Senior Vice President of Finance, Investor Relations and Chief Accounting Officer.
Fabrice Benarouche: Thank you, operator. Good afternoon, everyone, and thank you for joining us today. On the call today with me are Carlos Alberini, Chief Executive Officer; and Markus Neubrand, Chief Financial Officer. During today's call, the Company will be making forward-looking statements including comments regarding future plans, strategic initiatives, capital allocation and short- and long-term outlooks. The Company's actual results may differ materially from current expectations based on risk factors included in today's press release and the Company's quarterly and annual reports filed with the SEC. Comments will also reference certain non-GAAP or adjusted measures. GAAP reconciliations and descriptions of these measures can be found in today's earnings release. Now I will turn it over to Carlos.
Carlos Alberini: Thank you, Fabrice. Good afternoon, everyone, and thank you for joining us today. We are extremely pleased to report our second quarter results with sales exceeding our growth expectations and the team delivering a significant beat in operating earnings and earnings per share. We achieved an almost 10% operating margin for the period ahead of both our guidance and last year's results. All of our segments performed at or beyond what we had expected with solid revenue performance, strong gross margin results and effective cost management. During the quarter, we saw strong momentum with our global brands and managed the business well as we continue to leverage the power of our highly diversified business model. Our teams across the world continue to control the controllable and adapt well to the changing consumer environment across geographies. Paul and I are very pleased with our performance. I want to thank our teams for their commitment and hard work. We greatly value your strong contributions. Our company's revenues for the second quarter grew by 3% and adjusted earnings from operations reached $65 million, 17% ahead of last year. In Europe, we achieved a 9% increase in revenues higher than expected. This was partially driven by earlier than anticipated shipments to wholesale accounts that welcome our product to support good sales momentum in their businesses. Our direct-to-consumer business also performed very well with double-digit comp growth in our stores. Our Europe segment reported a 37% operating earnings increase, well ahead of our expectations. We are very happy with our momentum and have a robust outlook for the second half of the year in this region. Our Americas Retail business reported an 8% revenue decrease and solid gross margins both in line with our expectations. With our team's effective cost management, however, we were able to drive operating results that were stronger than we had anticipated. Our Americas Wholesale business reported a better-than-expected 13% revenue decrease and also beat our operating earnings expectations with improved gross margins and good expense management. In Asia, we grew revenues by 19% and improved operating earnings in the period, both in line with our expectations. And our licensing business had a terrific quarter, increasing revenues by 13% and earnings from operations by 24%, both well ahead of plan. This business was driven by strong performance of fragrances, handbags, footwear and watches. Turning to our product performance, which again differed by region consistent with what we saw in the first quarter. In Europe, women's, men's and accessories all posted healthy sales growth. The best-performing products included outerwear, knit tops, woven shirts, including denim, sweaters, dresses and shorts. Accessories were particularly strong in Europe, with the best performance recorded by handbags, travel products, small leather goods, jewelry, belts, watches and eyewear. Marciano, kids and footwear were also strong. In Americas Retail, sales were down across women's, men's and accessories. While we experienced reduced customer traffic, we improved conversion on a sequential basis compared to the first quarter results. Our top-performing categories included sweaters, activewear, certain denim products like overall and gem suits, presses, woven shirts for women and knit tops for men. In accessories, handbags, travel products and watches outperformed the overall category. Marciano had a challenging quarter as we were up against very strong sales from a year ago and footwear and kids recorded better trends than the overall business. In Asia, we had success with women's and men's products and a very strong performance in accessories, driven by handbags, small leather goods and watches. We also saw strength in sales of footwear and kids products. Right now, there is a lot weighing on the global consumer. Despite tighter labor markets and rising wages, higher interest rates and inflation are impacting consumer confidence, and we expect that this will continue for some time. Despite those challenges, we are confident in our business and our brand momentum, and we are very pleased with how our products are resonating with our customers. Our approach to our business remains consistent with the strategies that we shared with you in the past. Our teams continue to focus relentlessly on those areas that we can control, and we have initiatives in place to further improve on our planning and execution to optimize our results. We see the biggest opportunities in four key areas of our business to create value, brand innovation, inventory management, efficiencies and cost control and growth. Let me address each one. Starting with our ambitious brand elevation initiative, as I have discussed in the past, Paul has led our team to reinvent our brand and influence virtually every facet of our global business. The results have been extraordinary. Now with a global line of products, we represent our brand consistently across all of our global distribution and across all of our 25 product categories. This initiative has driven significant efficiencies in global design, product development and sourcing and enabled us to massively consolidate our vendor base despite adding proximity vendors to enhance speed to market. Most importantly, Paul, in collaboration with our internal product teams and licensee partners, has led a major effort to improve product quality, taste and styling and to increase our focus on sustainability. Paul has also led our teams in driving strong alignment and coordination between the product launches and the marketing campaigns featuring those products. A good example is our most recent campaign introducing Georgina Rodriguez as the face of Guess? and Marciano for fall 2023. Georgina is a Spanish-Argentine model and influencer with more than 50 million Instagram followers. She's also the wife of Soccer Star Cristiano Ronaldo, who has 600 million followers, so she gets tremendous exposure through him as well. All of the products modeled by Georgina are available around the world in stores on our website in wholesale distribution and featured in magazines, social media and catalogs and the initial sell-throughs for these products have been very strong. Also related to our brand elevation strategy is our focus to price all our products based on the customers' perceived value. We are also buying products strictly based on expected customer demand, not more, not less. Our goal is to sell more at full price, minimize promotions and avoid creating excess inventory. Lastly, we have remodeled hundreds of stores in the last three years, and we opened many new stores as well. Over 80% of our store fleet has now been refreshed to improve brand representation and the customer experience. Moving to inventory management, we have been executing well on our commitment to reduce our inventory investment and increase free cash flow. We have implemented several new systems applications to automate multiple functions for inventory planning and allocation and use data for better decision-making. These solutions are also helping us to improve assortment planning and execute better buys to maximize sales and enhance margins. And our results have been very strong. We have already taken out about one month of inventory from the product cycle without impacting sales negatively, and we closed the second quarter with only 4% more inventory than last year. Today, we are very confident in our goal to close the year with a 10% reduction in inventory compared to last year. In connection with cost controls and efficiencies, we are focusing on three key areas: first, we have integrated several functions at a global level to improve accountability and eliminate organizational redundancies, most recently completing the integration of our financial systems between North America and Europe; second, we are looking at ways to streamline operations across the world where we can do more with less. As an example, we are currently in the process of closing our hub in Hong Kong, which serviced many Asian countries for years. These businesses will now be serviced by our teams in Singapore, and the retail stores in the market will be integrated into our China operation; and third, we continue to see opportunities to reduce variable expenses, including inbound freight and store payroll, which are large line items in our operations. We are pleased with our progress and today's results are a testament to our success. Lastly, as I mentioned in previous calls, we see significant opportunities for growth: first, driving greater sales productivity in our existing network; second, growing organically in existing and new markets; third, exploring further brand extensions, including new product categories; and fourth, considering opportunities that leverage our global infrastructure and our network of licensees and wholesale partners. As our leadership team builds out our long-term plan, we look forward to sharing more with you on all of these areas of growth at an Investor Day to be scheduled before year-end. I also want to call out the release of our fifth Guess? ESG report which you can access at sustainability.guess.com. This comprehensive report highlights the outcomes of our first-ever double materiality assessment and our many initiatives, including our dedication to fair treatment and gender pay parity, which we have just achieved in our major markets. KPMG has examined the report's key metrics and disclosures and we have become one of the first in the fashion industry to obtain reasonable assurance. And now to our outlook. Our business has shown tremendous resilience so far. Our first half results give us confidence in our teams and our ability to execute well. I feel strongly about our plans for the fall and holiday seasons and our early sell-throughs of the new products are very encouraging. For those reasons, we are raising our adjusted operating margin expectations for the year to a range of 9% to 9.4% and our EPS outlook to a range of $2.88 to $3.08 per share. Accordingly, we now expect to deliver year-over-year EPS growth despite significant headwinds. Markus will share more about that in a moment. And speaking of Markus, I'm excited to welcome him to our company as our new Chief Financial Officer. Markus brings a strong background to this role and great relevant experience from his 17-year career with Hugo Boss, where he had multiple responsibilities in financial, operational and even commercial roles. I'm confident that he will make strong contributions to our company. Before I pass it over to Markus, I want to share with you why I'm so excited to be here at Guess? and so optimistic about our future. I'm sure you could all list companies with amazing brands or others with particularly strong business models and still others with reputations as great places to work. I could do the same, but I would have three separate lists. What I believe makes Guess? special, what makes us unique, is that this is a place where I believe all of those factors come together to create a powerful platform to drive long-term sustainable value for all of our stakeholders, and it hasn't been by accident. The unique position that we have staked out for ourselves came with 42 years of extraordinary vision and focused execution. First, there is the brand. The Guess? brand today is truly a lifestyle brand. Thanks to the most iconic and aspirational marketing campaigns that Paul created over the last four decades. That strong lifestyle image was developed early on and our founders had not only the ability, but the courage to pursue multiple categories quickly and effectively well beyond Denim. Product excellence has always been king at Guess?. And today, we offer amazing products across more than 25 categories for women, men and kids. Second is our powerful and diverse business model. Guess? leverages a strong licensing model. This business delivers $100 million in royalties a year and does so without deploying significant capital, so it delivers high returns, but it also aligns capabilities with mission to ensure the best execution. Our core products, mainly apparel, are all managed internally. We know this category is better than anyone. However, special products that require expertise for design, manufacturing and distribution such as watches, handbags and footwear have always been licensed out to the best partners that truly understand both the product and the brand. Similarly, we have a license or franchise model in certain markets to leverage experts in those regions, Middle East and Mexico are good examples of this. Our business model also reflects a true world vision, almost from its inception, Guess? pursued an international expansion strategy and today's presence in 100 countries and global brand awareness are a direct consequence of that strategy. The business also benefits from significant synergies resulting from a global network with omni-channel and multichannel capabilities, providing a highly diversified and balanced model. And third, we have a culture here that makes Guess? a great place to work and build a professional life inside a family. From its inception, the Guess? culture has been highly entrepreneurial and adaptable, where our long-term focus drives all important decisions and where our teams work as a family and are supported and responsible to deliver results in their businesses. This culture of accountability and empowerment allow us to attract and retain top talent all over the world. The convergence of all these attributes on to one powerful platform, create a unique strength and potential of our company. Paul has been our chief visionary and architect and we couldn't be more grateful and excited to work with him every single day to make it bigger, better and more successful. We are well positioned to grow our business and deliver strong value creation for our shareholders for years to come. I look forward to reporting on our progress this year and in the future. And with that, let me pass the call to Markus. Welcome, Markus.
Markus Neubrand: Thank you, Carlos, and good afternoon, everyone. Before I take you through the numbers, I want to tell you how excited I am to be a part of the Guess? family and help the team grow the business long term. I'd like to thank Paul and Carlos for their confidence in me and the opportunity to be a part of this incredible company. The Guess? and Marciano brands are reknown globally, and we have a strong platform for sustainable and profitable growth. I'm looking forward to engaging with you and continuing to support the Company's goal to deliver outstanding value to our shareholders. With that, let's take a look at the quarter. We delivered better-than-expected revenues, operating profit and earnings per share. This quarter's performance demonstrates the strength of our diversified business model, with all our segments delivering results in line with or beyond our expectations. We expanded gross margin, maintained clean inventories and carefully manage costs, all of which enabled us to deliver an adjusted operating margin of 9.8%, an outstanding performance in a dynamic environment. Let me take you through our results in more detail. Total company revenues were $665 million in the quarter, a 3% increase from last year's second quarter and a 3% constant dollar increase. The better-than-expected performance reflects positive retail comp sales, improved licensing revenues and earlier-than-anticipated wholesale deliveries in Europe. Turning to our regional performance for the quarter. Starting with Europe where we posted an 8% constant currency revenue increase and a 9% increase in U.S. dollars. The revenue growth was mainly driven by strong retail store comps and higher wholesale ship. Our stores in the region posted a 13% constant currency comp increase in the quarter, driven by continued store traffic increases and strong AUR growth, more than offsetting a modest conversion decline. As in the past few quarters, Turkey hyperinflation had an outsized impact on the comps and excluding Turkey, that comp increase would have been 10%. In European wholesale, we returned to normal shipping patterns in line with the previous year. Compared with our initial expectations, we experienced a roughly $10 million timing shift of whole winter '23 wholesale shipments from Q3 into Q2. The Spring/Summer '24 collection campaign is almost completed. Orders are expected to increase low single digits compared to the prior year spring summer campaign aligned with our initial expectations. Operating margin in our European business increased by 260 basis points to 12.9%. The expansion was driven by higher IMU, strong comp sales and lower markdowns, partially offset by currency headwinds, negatively impacting our product margins. In Americas Retail, revenues decreased 8%, both in U.S. dollars and in constant currency. While traffic remains under pressure in our North American stores, conversion drove a sequential improvement in stock comp, which declined 7% in Q2 following a Q1 comp decline of 12%. AURs were stable compared to last year's Q2. Our North American e-com business performed better than stores and increased low single digits. Americas Retail posted a 9.1% operating margin compared to 13.2% operating margin a year earlier. The 410 basis point decrease in operating margin was mainly driven by higher expenses, the deleveraging of expenses given the sales decline and a lower mix of full price selling partially offset by a higher IMU. Our product margins were flat with the higher initial markup offset by a lower mix of full price selling. As we move through the second half of this year, we expect the expense deleverage to begin to moderate, primarily in the fourth quarter, given our expectations for revenue. In Americas Wholesale, revenues declined by 13% in U.S. dollars and 16% in constant currency. The decrease was driven by lower shipments in Mexico and the U.S. Operating margin reached 25.3%, an improvement of 250 basis points from last year, driven by gross margin expansion, partially offset by higher expenses. In Asia, revenue grew 19% in U.S. dollars and 22% in constant currency. The growth was driven primarily by the recently acquired stores in Korea. Stock comp sales for the region increased 3% in constant currency. Operating margin improved 580 basis points to negative 0.9%. This improvement was driven by the direct operation of those new Korean stores as well as leverage our expense structure. And finally, our licensing segment. Royalty revenues increased 13% in U.S. dollars and constant currency. Segment operating margin was 94.1% and operating profit increased by 24%. In the quarter, total company's gross margin was 44.3%, an improvement of 220 basis points. Improved IMUs, favorable segment mix and lower markdowns were partially offset by a negative currency impact on our product margin. Adjusted SG&A for the quarter increased 7% to $229 million. We experienced inflationary pressures on our cost structure, including higher selling expenses in our retail stores. And we made investments in our infrastructure, most notably in Europe. Our expenses were also impacted by the unfavorable impact from currency. For the quarter, our adjusted SG&A rate increased 110 basis points to 34.5%. Our second quarter adjusted operating profit increased to $65 million. This represented an increase of $9 million or 17% compared to last year. Adjusted operating margin was 9.8%, 110 basis points better than last year's Q2, driven primarily by a higher initial markup and favorable business mix, partially offset by the negative currency impact and higher expenses. Currencies negatively affected adjusted operating profit by $8 million and adjusted operating margin by 130 basis points. We recorded non-operating net expense of $5 million versus a $9 million charge in last year's second quarter. The change was primarily due to lower net unrealized and realized losses from foreign currency exposures. And we recorded an adjusted effective tax rate of 26%. Adjusted Q2 diluted EPS was $0.72 compared to $0.39 of earnings per share in last year's second quarter, an 85% increase in adjusted earnings per share. Moving to the balance sheet. We ended the quarter with $303 million in cash compared to $174 million a year ago. The most significant drivers of that $129 million cash build over the last four quarters include $135 million of free cash flow and net draws on our credit facilities of $51 million, partially offset by $55 million in dividends and a $9 million payment to purchase our Russia joint venture partners' 30% minority interest. We ended the quarter with a total of $299 million of borrowing capacity on our various global facilities, so roughly $600 million of available liquidity. Inventories were $554 million, up 4% in U.S. dollars and flat in constant currency versus last year. Regionally, our inventory growth comes from our international markets with our North American inventory levels being down against last Q2. Our overall inventory levels are in line with our plan and as we return to a more traditional timing of receipts this year, our plan is to further reduce our inventory levels. Overall, we are pleased with our inventory composition and forward orders and feel we are very well positioned to support our business moving forward. Our receivables were $318 million, a 6% increase versus last year's $302 million. On a constant currency basis, receivables increased about 1%. For the first half, capital expenditures were $35 million, mainly driven by investments in store remodels and technology. This compared to $51 million in the first half of the prior year. Free cash flow for the first half was positive $9 million, an improvement of $63 million compared with the cash consumption of $54 million for the prior year first half. The improved free cash flow resulted from favorable changes in working capital including a substantial reduction in inventories and lower capital expenditures, partially offset by lower net income. So now let's talk about our outlook for fiscal '24 and the third quarter. With the second quarter now behind us and as we consider our business for the second half of the year, we are raising our earnings outlook for the fiscal year with an expectation of stronger operating margins, on a similar level of revenues compared to our prior guidance. Our improved outlook on earnings is primarily driven by our strong Q2 performance, some of which were presented to timing shift with the third quarter. We expect the strong momentum of our brand to continue in Europe, where revenues should reach nearly $1.5 billion this year. In North America, we continue to anticipate traffic headwinds and customers who are prudent in their spending. We are very pleased with our inventory levels and composition that is well aligned with our sales expectations. With normal fluctuations from other parts of our business, and the prevailing currency environment, we expect full year revenues to grow in the range of 2.5% to 4%, both in U.S. dollars and in local currency. Moving down the P&L. Just as we saw in the second quarter for the balance of the year, we anticipate expanding gross margins on a year-over-year basis despite some lingering currency headwinds. That expansion should be fueled mainly by the cost improvements we're enjoying as the supply chain and shipping environment have returned to normal. On expenses, both inflation and currencies will negatively affect this year's expense structure and rates. Let me remind you that by the time we get to the fourth quarter, however, some of that rate pressure should abate or even turn favorable, given that the fourth quarter will include an extra selling week this year. With our strong results in the first half of this year, we are confident about our plans for the second half of the year. Today, we are raising our adjusted operating margin outlook to a range of 9.0% and 9.4% for fiscal year '24. At the high end of our guidance, the adjusted operating profit is expected to be on the same level as in fiscal '23. For some additional perspective on that, if we were to adjust for the headwinds caused by currencies, last year's COVID relief benefit, a change in performance-based comp expense and factor out the extra selling week, our outlook would represent an underlying operating income growth rate in the low teens at the midpoint of our guidance. We are also raising our adjusted diluted EPS outlook for the year to a range of $2.88 and $3.08 per share, which is net of the effect of the second quarter non-operating charges. In the third quarter, we expect U.S. dollar revenues to increase in the range of 2.5% to 4.5% versus last year's third quarter based on current prevailing exchange rates. Currency impacts should represent a roughly two-point tailwind for revenue growth. We expect third quarter adjusted operating margin between 7.5% and 8.3% and adjusted EPS in the range of $0.55 to $0.64 per share. Lastly, on capital allocation. We are on track with our plan to improve our inventory turns with supply chain now functioning more normally. Coupled with our outlook and this year's lower CapEx plans, we are well positioned to generate free cash flow of roughly $160 million. Our outlook is based on our best assessment of the current macroeconomic environment, including inflationary pressures and the consumers' willingness to spend. As always, we will manage the business prudently taking advantage of the power of our diversified business model, which allows us to leverage areas of strength to mitigate risks that may arise in other parts of our business. In closing, I want to reiterate that we are very pleased with the execution of our team, and we are confident to deliver the results I just outlined. Further, we have a strong balance sheet and are in an excellent financial position to invest in the growth of our business and continue to return capital to our shareholders. And with that, we can now open the call up for questions.
Operator: [Operator Instructions] One moment for our first question. It comes from Corey Tarlowe with Jefferies. Please proceed.
Corey Tarlowe: Carlos, it seems like you've had some really strong momentum in Europe. So I'm wondering if you could just maybe unpack that for us a little bit and maybe just talk a little bit more broadly about the momentum of the brand. It seems like you have some really great partnerships that are really helping to fuel that growth. So just curious there, it would be great to get some color.
Carlos Alberini: Yes. Let me start, and then I'm sure Markus will chime in here. Yes, we are very, very pleased with our performance across the Company. As we said, during our prepared remarks, just every business did as we expected or better. And Europe was leading the charge there. We had a great quarter. Some of it was that shift of shipments into the second quarter from the third quarter. But frankly, that is a small part of the bid and the better performance that we experienced. What we saw was very strong comps in Europe and these strong comps have been driven by a very healthy customer traffic into our stores. We are seeing just healthy metrics also inside the stores. Of course, we are benefiting from the price changes that we took over the last couple of years. And the margins have been very much under control and also benefiting from what we're seeing with inbound freight and everything that is impacting that part of the business. We are very pleased with how the customer is responding to our assortments and we feel that, that is also carrying through our demand for wholesale. With respect to what we see with wholesale is still a very healthy business in terms of how our current seasons continue to perform. And this is in spite of the big change that we have been able to deliver over the last four -- three years, pre-pandemic to now, we are talking about an increase in that wholesale business in Europe from about €480 million to about €630 million currently. That's over 30% growth for the entire business. That's very big. It was driven by new categories and some just very ongoing strong momentum with the accounts that we have. So, very pleased. Maybe Markus, you want to talk about the operating margin in Europe.
Markus Neubrand: Thank you, Carlos. We are very pleased with the operating margin development in our European business in the second quarter. We're up 260 basis points. I think I shared in the prepared remarks, the higher international markups, I think where we see the benefits from -- especially no inbound freight, driving our initial markups. And as Carlos mentioned, the strong comp sales helped us to drive more bottom line. What is also very positive to see is lower markdowns also contributed positively to our performance -- operating margin performance in the second quarter. And what we still continue to see is the currency headwind from transactions in our margins. I think I shared also previously. I think this was a headwind that we had in our margins. But overall, I think we are very pleased and are very happy with the performance and with the strength of our brand in the European segment.
Carlos Alberini: Yes. And I think just you mentioned about the partnerships, and I think that is a big point. We have very strong country management teams. And obviously, that is driving a lot of the business in each of those markets. And they own the businesses and we have been very pleased with what they have been able to do in each and every one of those markets. And then just the accounts, the partnerships that we have at wholesale. We are talking about thousands of accounts, thousands of relationships, agent relationships. And all this, I think, is very unique and very powerful. And I think it has a lot to do with the success that we have been able to experience for now several years consecutively.
Corey Tarlowe: That's great. And then just on inventory, it was up a little bit in the quarter, but it sounds like you're making progress to get it to a point where it's likely to be down by the end of the year. What does that look like on a regional basis? How do you think that you get there? And then ultimately, what do you think that means for the potential for driving even better margins over time as inventory levels become even more under control.
Carlos Alberini: So let me start also. And again, I'm sure Markus will address the regional inventory levels. But overall, we came into the year knowing that last year, we made a very significant effort to really secure our business. So we were really ordering product to arrive to our distribution centers earlier. So then we could be there to service the business in spite of all the supply chain disruptions that we were experiencing together with the rest of the industry. And this year, as we saw that the supply chain was normalizing and that we could rely on a much tighter delivery time line, we made the plan to really reduce the inventory investment that we had in the business. I mean, obviously, it's one of the major sources of cash flow. So we put in place a plan to really extract from that inventory investment, a significant amount of inventories, and we have been able to take about one month out of the investments that we were running with last year. And we feel that by the end of this year, we should be with -- we closed with an inventory of about 10% less than what we closed the year last year with and we are very confident about that because just we work with a very clear time line and ordering system that gives us a lot of visibility now to know that we will be able to make those numbers. Of course, we are buying very diligently on with a lot of discipline. We are not buying any more or less than what we think is going to be demanded by our customers in every one of our channels. And this formula has worked well for us. And we are very pleased. The increase in inventory, that 4% that you were referring to is primarily due to increase in average unit cost and this is all driven intentionally and strategically by our product strategies. I'm talking about higher quality business product mix and things that are completely in our control, and we are very pleased with it.
Markus Neubrand: Corey, adding to what Carlos just explained, our inventories stay up 4% in U.S. dollars, the constant -- in flat in constant currency. If we look at -- and I think we're very pleased with development over the last few quarters. If you look at the sequential improvement, if we can look back at the first quarter, we've been up 9% in U.S. dollars. Our inventory is 8% in constant dollars at the end of Q1. So we're very pleased, I think, to see this progress. Overall, I think to your question, I think, regarding also the regional mix, the inventory position at the end of the second quarter is in line with our sales expectations for the third quarter. We are pleased to see that the inventories are up in Europe and in Asia, also where we see growth of the business, and it's down in the Americas, very much aligned also with the sales expectations that we have, I think then also for the next upcoming quarters and we are very pleased. And just to reiterate also what Carlos just said, we feel very confident about our plan also to further reduce our inventories down roughly 10% at year-end.
Carlos Alberini: And if that happens, we are confident about the $160 million.
Markus Neubrand: Yes. You've seen, Corey, you may have seen that we raised the forecast our expectations for free cash flow to €160 million for the fiscal year '24.
Operator: Thank you. One moment for our next question please. Next question come from the line of Dana Telsey with Telsey Advisory Group.
Dana Telsey: Carlos, as you're thinking about the back half of the year and what you delivered in the first half, as you think about the guidance for the operating margin, how do you think about unpacking the growth in the SG&A? Is the first half beat? And now as you're thinking about the third and fourth quarters, is it conservatism? Is there anything whether it's shrink or marketing that we should be mindful of that wouldn't allow you to potentially come in better than last year's operating margin in the second half. And with that, how do you see the health of the consumer in the different regions?
Carlos Alberini: Okay. Dana, I'm going to start with the operating margin question. Just frankly, we have a very solid plan for the second half of the year. Of course, this is the most important half as everybody knows. Here, we make a lot of money in the second half of the year and here just as being successful means huge value creation. So we have a very specific plan for business. We feel that the product is right. We feel that we have everything that we need to really deliver excellent results, and that's what we are going for. The team is highly charged. Obviously, there are some things here that make the second half this year, a little bit different like the extra week. But overall, we feel that we have a very strong plan and a lot of opportunity to deliver very great profitability, especially in the fourth quarter. With respect to the health of the consumer, I think we have to look at it by region or by market because we are still seeing a very different behavior in the different markets where we operate. And as you know, we are truly global. So starting with Europe, we continue to see a healthy customer coming into our stores. We see that there are still differences among the different markets there, obviously with war and some of the issues that have been impacted just in Russia and some other places where we see significant inflation like in Turkey, just the consumer is behaving differently, but we have had very significant success in those markets. We are seeing that the business continues to be very strong, and it's a reflection of that customer traffic flows that I was referring to. So we continue to see that business very healthy in the second half going into the second half. And we feel that as we see the performance every single day in our stores is very reliable unless there are significant changes in behavior. But so far, I think the consumer is in a good place. And then looking at our wholesale business, every time that you see that we are able to ship early, I think it's a very strong indicator that people like the product, our retail customers, and our wholesale customers are very happy with getting the product earlier because the product is selling well. So that should be a very strong indicator. When you look at Americas now, this has been a challenged environment for us. We have been seeing contraction now for a few quarters. And frankly, we don't think that it is related to our product. In fact, we think that we have been making some very good strides on product. Just when you look at our denim trends are very healthy. When you look at our accessories business, it's very strong. We have been able to really go into a more casual assortment very quickly, which is something that we always like of our brand that it allows us to go from dresses to casual and vice versa very quickly, and we can adapt to where the consumer is going with relative ease. And we are seeing success. We're talking about success with sweaters, success with denim, success -- during the summer, we had strong success with shorts and tanks. So there are a lot of things that we think are working very well, but we continue to see that the consumer is a little bit more pressured and looking for a lot of value. We have been very careful not to promote. And we have been able to really do well with that in spite of the environment being very promotional in general. We think that we have a great plan, especially second half, we'll be looking at the sweater business and outerwear business. Those are two big businesses for us in both women and men and we think we have a great plan to go after those categories and create significant volume because some of these items, of course, drive a higher average unit retail. So we are excited about the second half. And then when you look at Asia, in Asia, the common is similar than what I said about Europe, this is more a combination of different markets. And some of the dynamics in each of those markets could be different. So you have places like China who has been on its way to recover from pandemic and everything else, everybody knows, but they are -- they have their own issues. And then you have a place like Korea that has been very strong for us, and we see that as a great opportunity to continue to really improve our operation in Asia as an overall region. So just -- it's a combination of multiple things. We feel that we have a great plan, and we think that the guidance that we shared with you today is very realistic based on what we have been able to see during the last few quarters and what we are seeing even now during this quarter, we have one month of the quarter in and everything that we have shared with you in terms of color is completely aligned with what we are seeing now. So, you want to touch on...
Markus Neubrand: Hi, Dana, it's Markus. Let me first address the shrink question that you had. We don't see any major issues so far this year in terms of shrink. Obviously, this is an area we're closely monitoring, and we have a very good team and loss prevention team in place. Let me then go to the operating margins and also the key drivers. If we look, first of all, we are very confident that we can, I think, can deliver the guidance, I think we've just given and it's almost a realistic view on our business performance. If we look at the expected high end of our guidance, the expected adjusted operating profit is on the same level as last year. What are the key drivers? Let me start first with the negative ones with headwinds. We have the unfavorable currency impact that is less than 100 basis points on our operating margin. We have, as you may recall, also from the prior year, reporting, we have lower COVID-relief subsidies where we've received last year and not comping this year. And we do have also a higher performance-based compensation. What are the positive drivers, I think, that we see. We have positive store comp sales, especially driven by Europe and by Asia. We have the favorable impact of the higher initial markups mainly driven by lower shipping costs. I think we have seen them, and we commented on in Q1 as well as in Q2, how they've been improving our operating margins, and we expect this margin driver I think to continue and to help to expand our gross margin in the second half of this year. And of course, importantly, I think, as Carlos also mentioned, we will have -- in the fourth quarter, we will have the impact of the 53rd week. We've given you also before, this represents roughly 1% of the total company sales growth for the year, fiscal year '24. And this will clearly also help to abate some of the rate pressure that you asked for in terms of the SG&A expense structure in the fourth quarter with the extra selling week that will benefit Q4.
Operator: Thank you. One moment for our next question. [Operator Instructions] And it comes from the line from of Mauricio Serna with UBS. Please proceed.
Mauricio Serna: Great. Congratulations on the pretty good results. I wanted to ask maybe if you could elaborate more on the trend that you have seen in Europe, maybe on a category perspective, like which have been, like the categories where you're seeing like strong growth and maybe across the most important markets, which ones have you seen done the best or which ones might be lagging? And then maybe if I may ask also on the third quarter sales guidance, if I look at the main segments of the business, I think sequentially speaking, sales are roughly in line, maybe a little bit lower if you exclude the FX impact. What is driving -- or like what are you seeing like any significant changes in sales trends across the different segments?
Carlos Alberini: Hi, Mauricio, thank you for your questions. Well, so let me start with your first question about categories. Just in Europe, like I said, the wholesale business is very significant, and we have a big business in apparel for both women and men and kids now. And we have a very big business in accessories, and that is primarily driven by handbags, but also many other categories that continue to evolve and develop. And then last, I would say, just we have the Marciano brand and we have footwear. And so among all those, just we see a lot of strength in multiple lines within the apparel categories, just with the whole global line introduction and what we have done, just Paul, with the product teams, just changing the way that the whole product assortment has put together and we have seen success with multiple areas there. We have had great success with everything that touches dresses as a main category. Our athleisure line, which is a completely new offering from the last maybe 2.5, 3 years now, that line, went from being zero to a pretty significant part of our entire line and that line continues to do very well at wholesale as well. Our Kids line also had several seasons of the strong growth, just as more stable now. And our footwear business, just as we migrated more from the dressing to a more casual collection. I think we have seen great success with that change as well. Our handbag business has been strong and continues to be strong. I think -- we always say that we believe that there is very limited competition for what we do. It's very difficult, and we are ahead of the pack there, and we feel very strongly about our new collections. We have a lot of business in different sizes of bags. We have just a lot of logo business and when you put it together, considering the quality that we offer aligned with the price that we require is a great combination, a great value proposition. So, overall, a very strong business across the board, we still see a lot of opportunities to continue to grow. We have a whole line of men's accessories products. And we think that line is -- could be a lot bigger. So we are trying to fuel that growth and invest in that category. We have a whole line of underwear and swimwear. And again, just we feel that the business is very small compared to what it could be. So we are trying to invest in these categories to fuel the growth. And overall, I think that the big advantage here is that we have this big relationships with key accounts and in many cases, they buy multiple categories, just including Marciano in certain cases as well. So, overall, very, very happy with that. With respect to the sales guidance, maybe, Markus, you can start.
Fabrice Benarouche: Yes. Yes. Let me quickly start, Mauricio, for the full year, I think we're guiding revenues up between now 2.5% and 4%. Before, it was 2% to 4%. We've increased the bottom end while maintaining the top end compared to our prior expectations. What are the key drivers for the revenue growth that we continue to see driving the growth in second half, positive comps in Europe and Asia. We have the 53rd week as we just talked about in the fourth quarter, and we have the driver also for the net new stores. For the third quarter, I think the same drivers are at play, but please also be reminded, I think then also the second quarter compared to our initial expectations that we had as we guided Q2 benefited from a wholesale delivery shift of $10 million into the second quarter. And now going into the third quarter, as you mentioned, I think we have -- and that's also what I stated in my shared in my prepared remarks, we will have a two-point tailwind from currencies on the revenue growth.
Operator: Thank you. And we have time for one more question, one moment please. It comes from the line of Eric Beder with Small Cap Consumer Research. Please proceed.
Eric Beder: Congratulations on a great quarter and guidance. Let's talk a little bit about capital allocation. You have $160 million in free cash flow this year, but where do you look at it that you want to continue to expand in terms of open stores. How should we be thinking about in terms of potential further share repurchases or increasing the dividend?
Carlos Alberini: Well, so just as you know, we have just refinanced our convertible, just we were able to do that under very favorable terms, and we are very happy with the fact that we were able to also kind of like defer some of those maturities into the future. So today, we have a great capital structure, and we are in a very good position. Last year, the team also refinanced and redid a couple of our facilities, credit facilities. So just our capacity is pretty significant, and we feel that we're in a very good place. That's why every time that we can squeeze and generate more free cash flow, we are very happy about that. So -- and I think that as a company and as our Board has been tremendously pro shareholder returns, and they have done a lot to really increase those returns, increase the dividend very recently. We were very active with share repurchases during the last few years. We are talking about 40% of the shares outstanding that were repurchased since I've been back. So you can imagine, we feel that we are super active with that. We want to make sure that we keep our powder dry just, we want to first as a top priority to be able to service our business. And with investments, this year, our CapEx is going to be lower than last year, and we are being very prudent in the way we are spending our money, but we want to make sure that we have plenty of capacity just when we have opportunities to invest to grow the business and do more. Of course, we are going to continue to look at opportunities to return value to our shareholders at all times. And I can promise you that. And when we consider that is a good opportunity for us to be more active, we will do so. But we feel that we have been managing and balancing all those priorities in a very effective way. And I take a lot of pride on that because I'm very proud of how the Board approaches this topic and how pro all shareholders the Board is.
Eric Beder: Okay. I think what should we be thinking about in terms of opportunities to add more stores in other countries? Or how should we be thinking about that in terms of regions and where you would like to add those stores where it makes sense?
Carlos Alberini: Yes. Well, so we always look at the potential of the different markets, whether we are there or not and the opportunities for the Guess? brand primarily to really develop those markets, any one of those markets. And we have -- in many cases, we work with partners. Just they are several examples of that where we have territories where our partners run the business, we have either a license or franchise type of business model with them. And we still see a lot of opportunity in all over the world, especially considering how large and expensive our categories are, I mean, just the -- it could be that we are strong in one category in one particular market, but we see opportunities to bring and develop many of the other categories that we are in business with. So, we have plenty of opportunity for growth here. If you look at the size of the Guess? brand today, it is about $5.5 billion. This is a fewer measuring based on what the ultimate consumer pays for our Guess? product, $5.5 billion. We think that this number could be a lot bigger than that. I'm talking about -- when you look at some of the global brands, some of them are in the $8 billion, $9 billion size, and this is with less product categories than we have with less of a lifestyle type of offering as we have. So a lot of opportunity. But going back to the countries, I mean, they are markets like India, where we see a tremendous opportunity, and the brand is doing well. We are working with a partner there that has been opening stores. The stores are very profitable across the board. They have been opening stores pretty aggressively, and we think that we will close this year with more than 20 stores there. And that is very exciting for us because it's a huge market. And the brand is -- we have the fortune that the brand is well known across the world, just I don't think that you can go to any market where Guess? is not well known as a brand. So that gives us a big opportunity. Of course, we have been investing in China, that's a huge market. Unfortunately, this has been a very challenging goal for us, but we are not giving up. We are very committed to that market. We see a big opportunity there. And we are looking into just changing the business model and we think that we are into something that could be very, very productive, looking at that market in the future. And then within Europe, there are a lot of markets where we have a good presence and very profitable businesses, but where there is a lot more opportunity to grow and penetrate some other businesses. There are so many countries, so many cultures and again, we think that the Guess? brand is very relevant and something that people desire. So, we want to put that make the brand and the product available to all those potential customers.
Operator: Thank you. And this ends the Q&A session. Thank you, ladies and gentlemen. I will pass it back to Carlos Alberini for final comments.
Carlos Alberini: Yes. Thank you. Well, just -- we are very pleased with our performance this year, and we are very excited about our future. We have a clear strategy and a very good plan for the second half and our teams are executing very well. We're very proud of that. We are positioned well to grow our business and deliver strong value for our shareholders. Thank you to everyone that joined us today. We really appreciate that, and we look forward to speaking with you very soon. Thank you.
Operator: Thank you, everyone, for joining. You may now disconnect.